Operator: Thank you for standing by. My name is Dee and I will be your conference operator today. At this time, I would like to welcome everyone to the Hamilton Beach Brands Holding Company First Quarter 2024 Earnings Call and Webcast. [Operator Instructions] I would now like to turn the call over to Lou Nabhan, Head of Investor Relations. Please go ahead. 
Lou Nabhan: Thank you Dee and good morning everyone. Welcome to our first quarter 2024 earnings conference call and webcast. Yesterday after the stock market closed, we filed with the SEC our form 10-Q for the quarter ending March 31, 2024. And we issued our first quarter 2024 earnings release. Copies of those documents are available on our corporate website.  Our speakers today are Greg Trepp, Chief Executive Officer, Scott Tidey, President and Sally Cunningham, Senior Vice President, Chief Financial Officer and Treasurer. Our presentation today includes forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in either the prepared remarks or during the Q&A. Additional information regarding these risks and uncertainties is available in our 10-Q. Our earnings release and our Annual Report on form 10-K for the year ended December 31, 2023. The company disclaims any obligation to update these forward-looking statements, which may not be updated until our next quarterly conference call, if at all. And now I will turn the call over to Greg. 
Gregory Trepp: Thank you Lou Anne. Good morning, everyone. Thank you for joining us. Our agenda today is that I will make some opening comments, Scott will report on our strategic initiatives, Sally will discuss our first quarter financial results. After that we will take your questions. We were pleased with our first quarter results, which were in line with our expectations. You're off to a solid start in 2024 after we delivered a strong performance in the second half of 2023 and built momentum that carried into this year. We are affirming our outlook for the full year 2024 and we believe there could be upside if consumer spending and retail sales continue to be as strong as they have been. While Sally will discuss our first quarter financial results in detail, I would like to make a few high level comments. As we have reported on February 2 this year, our Hamilton Beach Health subsidiary acquired a company called HealthBeacon which is a medical technology company and a strategic partner of ours since 2021. Our first quarter includes 2 months of HealthBeacon results. We are very excited about this acquisition. Let me provide some brief contexts regarding our enthusiasm. 3 years ago, we determined that the large and fast growing home health and wellness market was an attractive opportunity for our company. We took particular note of our emerging growth categories for home, health care management, forming a partnership with HealthBeacon was our first venture into that space. HealthBeacon needed a partner to help it gain visibility and distribution in the U.S. market for its pioneering product. We work together to launch a healthcare solution that enables patients to effectively manage at home chronic conditions that require the use of injectable medications. In the U.S. the system is sold principally through specialty pharmacies. These health care providers appreciate that our system supports patient adherence to their prescribed treatments, which in turn improves health outcomes. The revenue model is subscription based. When HealthBeacon became available for purchase, we saw the opportunity to invest in a business that we believe has great potential to increase shareholder value over time. We are working to scale and expand the business. As we discussed in our last earnings call in March, our Hamilton Beach Health business, which includes HealthBeacon, is expected to have a modest operating loss in 2024 due to planned investments in the business and as HealthBeacon continues in the startup phase. Hamilton Beach Health is expected to contribute to operating profit in 2025 and beyond. In the first quarter HealthBeacon has $600,000 in revenue and $1.1 million in operating loss. In addition, we incurred transaction costs of approximately $1 million which were included in our SG&A expenses and which will not recur. While our new revenue stream from HealthBeacon is small now, we expect it to increase steadily as this year unfolds and then more rapidly in future years. Looking at our total company results, revenue was flat through the same period last year which was favorable compared to overall softness in the small kitchen appliance industry. Our gross profit margin increased significantly compared to a year ago as our team has done an effective job keeping our gross margins strong, while remaining competitive in the marketplace. SG&A was higher than a year ago. The increase was driven in part by the inclusion of HealthBeacon's expenses and the transaction costs I mentioned. The other primary driver was an increase in employee related costs, including higher non-cash stock incentive compensation, which was related to the increase in our stock price. Operating loss for the company as a whole was $900,000, a significant improvement compared to a loss of $5.1 million a year ago. The improvement primarily reflected our gross profit margin expansion. Excluding the HealthBeacon results that I mentioned, as well as the non-cash lease impairment related to the consolidation of warehouses, operating profit was $1.9 million or $7 million improvement compared to the first quarter of 2023, which underscores the underlying strength of our core Hamilton Beach Brands' business. Also in the first quarter, we continued to deliver improvement in our net working capital position. Cash from operations was nearly $20 million and we further reduced net debt. Before I turn the call over Scott, let me say that we're very excited to have him in his new role as President of the company. As we've announced, our Board of Directors appointed Scott to his position effective February 19 of this year. Scott's appointment is part of a long-standing succession plan. He brings to his role more than 30 years of leadership experience with the company. Most recently, Scott was Senior Vice President, Global Sales with oversight of all of our retail and commercial sales worldwide. While Scott's main responsibilities over the years have been in sales and marketing, he has been involved in most aspects of our business, including partnerships, sourcing, supply chain, engineering, quality and more. He has been instrumental in the development and successful in execution of our strategic initiatives to expand, diversify and grow our business. In addition to Scott being the right person for the job of President, time was right for Scott to be elevated to this role. Our company is on very solid footing and well positioned for future success. Over the past several years, even during challenging times. We have invested team and company resources in innovation, new product development, and our 6 strategic initiatives. Our team has always been laser focused on keeping our pipeline freshened and all new products flowing. As a result, we have been able to build our business across a wide range of categories in a broad group of retail and commercial customers. Number of incremental placements that we secured last year and this year will benefit us throughout 2024. We look for Hamilton Beach Health to add further momentum over time. Personally, Scott and I are engaged in a thoughtful and smooth transition of the duties of President, while I continue in my role as CEO. A significant recent accomplishment was organizational changes in the leadership of our sales and marketing teams. These changes were also part of a long-standing succession plan. We had experienced senior leaders -- we had experienced leaders in place ready to move up and assume broader responsibilities, enabling us to provide continuity, outstanding leadership for our sales and marketing teams. With these changes in place, Scott is starting to turn his attention to all aspects of our operations. Our company is fortunate to have an extraordinary team in place at all levels, starting with our functional leaders who serve on our executive committee. Combined with Scott's depth of experience, we are well positioned to pursue our growth strategies and build long-term shareholder value. Now, I will turn the call over to Scott. 
R. Tidey: Thank you, Greg, I appreciate your comments. Good morning, everyone. It is a great honor to be appointed President of our company. I am delighted to have the opportunity to collaborate with our outstanding global team to build on the successes we have achieved. The promotions in our sales and marketing groups that Greg mentioned were important steps. It was very gratifying to see senior leaders with whom I have worked with for years, assume greater responsibility. Erin Israel, who has been with the company since 2000 and who has been serving as Senior Vice President of Strategy and Marketing, now also, has oversight of our Global Commercial business. Wayne Albrecht, who joined the company in 2003 and has been serving as Vice President, North [Technical Difficulty] is now Senior Vice President, Global Consumer Sales. Erin and Wayne are both very strong leaders. I have the utmost confidence in their ability to quickly settle into their new roles and do a fantastic job for us. I, too, was pleased with our first quarter performance in getting 2024 off to a good start. Our results reflected progress of our 6 strategic initiatives. Our initiatives are designed to enable us to increase revenue, margins and cash flow over time and build value for all of our stakeholders. Let me briefly discuss each of our strategic initiatives, what they are, the plans for growth and how each initiative is performing. I will first continue the discussion Greg began with respect to strategic initiatives to accelerate the growth of our new Hamilton Beach Health business. We are very excited to have become a participant in the home health care management business. Rapid growth is being driven by technology, innovation and a growing shortage of medical staff that formally treated certain conditions in office settings. These solutions improve accessibility to health care services for many people. They enable providers to identify changes in the patient's status and facilitate faster interventions. Most importantly, they enable patients to participate more actively in their health care journeys, leading to more favorable outcomes. Our strategy is to combine our strengths, including our trusted brand name and our leadership in innovative product development, engineering, sourcing, marketing, sales and distribution with partner companies that have strengths in areas such as digital capabilities and patented technologies. HealthBeacon brings a number of these strengths, including strong specialty pharmacy relationships along with the know-how, software, patents and IP that are needed to support the system we provide to patients who are managing chronic diseases. The primary system we currently provide is called the Smart Sharps Bin from Hamilton Beach Health. Patients receive a countertop device that we help design, source and distribute. This device is connected to an app that uses patented technology to provide medication reminders, tracking and 24/7 patient support. The countertop device has a protected container inside that serves as receptible for used sharps. Once the bin begins to fill up, technology provides an alert for a new one to be sent automatically and the patient returns the container with the used sharps and the prepaid package for safe disposal. While we've been working with HealthBeacon team for the past 3 years, we are further integrating our team and resources and that process is going very well. We are optimistic about expanding this business over time. We are working with existing specialty pharmacy customers to add patients to the roster of subscribers who use our system. We are also working to secure business with additional specialty pharmacies. Further, we are working to add new treatments to the program, thereby increasing the number of chronic conditions that are managed using our system. We see the acquisition of HealthBeacon as the first step in increasing our participation in the home health care management business. We are in discussions with other prospective partners, particularly ones with unique technological capabilities who could significantly benefit from collaborating with partners like us with our broad commercial agencies. Next, I will discuss our strategic initiative to [Technical Difficulty] core Hamilton Beach and Proctor Silex brands. Our 2 core brands have served the needs of consumers for over 100 years. These 2 brands are known for quality, durability and innovation. We participate in more than 50 categories. In the U.S., Hamilton Beach is the #1 selling brand based on units sold in the small appliance and garment care industry. In the e-commerce channel, Hamilton Beach and Proctor Silex, both have 4.4 average star ratings and favorable reviews. In recent years, we rebranded Proctor Silex as Simply Better. This product line is targeted to consumers who deserve attractive -- who desire attractive, but practical product design, and essential functionality, without a lot of options and extras at the accessible [Technical Difficulty]. In the first quarter this year, unit volume for our core consumer brands increased 9.5% and dollar sales were nearly 2% or nearly -- were up nearly 2% compared to a year ago. This followed an impressive performance in 2003 when sales of these brands were flat with 2022, outperforming the industry by more than -- by the industry's more than 5% decline. Our goal for the Hamilton Beach and Proctor Silex brands is to further increase our growing share. We devote significant resources to investing in our core competencies that are critical to creating a competitive advantage and driving share. These include innovation, new product development and digital marketing. We refresh existing products and develop new ones based on consumer-driven research. Let me mention a few of the new product innovations we are launching this year. We have further evolved our popular line of FlexBrew coffeemakers. We pioneered the concept of a multiuse machine that brews a single cup or a carafe of coffee. Our latest model provides a faster brewing time. It can make hot or iced coffee using either pods or ground coffee. It is programmable and provides a removable reservoir that fits on the side or the back to enhance counter space. We expect this new line to be a strong contributor as we have already have broad support from major retailers. Also in the coffee category, we have added several new espresso machines, increasing our participation in the category that is fast growing. In the slow cooker category, we have answered the consumer's desire to start recipes using frozen foods with new models that defrost first and then cook, saving cooks a lot of time. We have also further evolved our extensive line of air fry toaster ovens, regular and personal blenders and hand and stand mixers, all of which are particularly good sellers for us. Next, I'll discuss our progress to gain share in the premium market. The premium part of small appliance market accounts for more than 40% of the total industry dollars. We have been increasing our participation in the premium market by developing, licensing and acquiring new brands. Our own premium brands include Weston and Hamilton Beach Professional. We license the brands for CHI premium garment care products, Clorox True, HEPA air purifiers, and Brita Hub, countertop electric water filtration appliances. We have an exclusive multiyear agreement to design, sell, market and distribute Bartesian premium cocktail delivery machines. In March of last year, we announced a similar agreement with the company by the name of Numilk to provide the next generation of specialty appliances to create a variety of fresh plant-based milk products in the home and in commercial establishments. The Numilk Home Machine is available for purchase on Numilk.com and will soon be available on Amazon. We are incredibly pleased with the sales of our CHI garment care products. We recently introduced 3 new irons and a garment steamer featuring CHI's Lava technology, which they used in their curling and hairstyling irons. Lava is a great heat conductor, and we're excited to deploy this innovative technology and our products. Based on several new placements we have secured, we look for CHI to be a meaningful contributor to our sales of premium products this year. We're experiencing great momentum and significant point of sales gains with our line of Clorox air purifiers. We also planned a launch in Clorox humidifier this summer. We believe we are well positioned to drive our Clorox brand business going forward. In 2023, the premium market accounted for 15% of our total revenue. Last year, while sales of premium products overall decreased compared to '22, they increased 10% in the fourth quarter. Sales were down in the first quarter of this year, which we attribute to seasonality following our strong holiday selling period and to a certain extent, the impact of inflationary pressures on consumer spending. We remain confident in the opportunity to increase our partnership in the premium market and its potential to contribute to our revenue growth and margin expansion over time. Our growth plans include leveraging our current stable of brands, new product development, digital marketing and adding new brands through additional partnerships and acquisitions. Next, I will discuss our strategic initiative to develop a leadership position in the Global Commercial market. This market has been up and down over the past few years due to the significant unfavorable impact of the pandemic. In 2023, our revenue from commercial products decreased 15% compared to 2022 when revenue grew 50% and reached the highest level in our history. This extraordinary growth was driven by a rebound in demand in the food service and hospitality industries following demand softness during the pandemic when many restaurants and hotels were closed. In 2023, sales of our commercial products accounted for 8% of our total revenue. We are working hard to exceed our all-time high over the next few years. We were pleased to see the sales of our commercial products increased slightly in the first quarter of this year compared to a year [Technical Difficulty] for this market, we provide commercial grade countertop equipment to the food, service and hospitality industries worldwide. Foodservice customers include traditional and fast food restaurants as well as bars and cocktail lounges. For the hospitality industry, we provide small appliances to be used as room amenities and in breakfast bars. Geographically, we prioritized North America, Europe and Asia. We currently do business with many of the leading food service and hotel chains. We are working to expand our business with existing customers and add new chains to our to our customer base. More recently, we have identified new opportunities with convenience stores and cruise lines. In food service, which is a more developed business for us, our core strength going back for many decades has been the mixing and blending categories. This year, we have launched a new blender called the Summit Edge. It is powerful, providing excellent performance for ingredients that are difficult to blend. It is quiet and easy to use. Our company is known for our high-quality blenders. We believe the Summit Edge is our best blender yet. This product is shipping into several chains now and has received favorable reviews from customers across the globe. In recent years, we've been expanding into the back of the house with several new food processing products, including our line of BigRig immersion blenders, rice cookers, [Technical Difficulty] hand mixers. Some of the partners I mentioned in the premium -- -- in the discussion of the premium consumer products also have application in our commercial business. For example, we have created a commercial grade version of the Bartesian cocktail maker and the Numilk plant-based milk maker. The Bartesian professional cocktail machine is selling well with both foodservice and hospitality customers. The Numilk commercial machine will become available later this year and has gotten a particularly strong interest from coffee shops. We remain extremely optimistic about the potential for the Global Commercial market to provide significant opportunities for us in terms of revenue growth and margin expansion in the future years. Next, I will discuss our initiative to accelerate our digital transformation. The e-commerce channel represents a strong and growing part of our business. Brand reputation, product features, innovation and star ratings all play a critical role in driving online sales. These all are areas where we excel. We are investing in gaining share in the e-commerce channel in North America for retail products and globally for commercial products. This includes investing in marketing tools to drive online visibility and sell-through for our brands and products as well as implementing best practices for content, advertising and fulfillment strategies. In 2023, our total e-commerce sales, which includes both consumer and commercial products, represented 39% of our total revenue. The e-commerce channel is developed in the U.S. and Canada. The e-commerce is becoming increasingly important to the sales of commercial products, but they're still insignificant compared to the consumer products. If we consider only the sales of our U.S. consumer products, e-commerce sales in 2023 represented 48% of our total revenue. Our brands earned star ratings of 4.3 or better, and 4 of our brands earned 4.5 stars or better. Our products receive favorable reviews from customers, experts and influencers. High star rating is a result of our commitment to designing and engineering consumer-preferred products and implementing leading quality control standards. Given the role the Internet plays in influencing consumers brand preferences and purchasing decisions, we are committed to allocating significant resources to growing online sales and share. Finally, I will discuss our strategic initiative to leverage partnerships and acquisitions, identifying and securing businesses with a strategic fit to our portfolio is an important aspect of our growth strategy. We are actively engaged in the pursuit of additional trademark license agreements, strategic alliances and the acquisitions to drive -- and acquisitions to drive growth in our markets. As we have previously reported, our acquisitions include Weston and HealthBeacon. We have entered into several exclusive agreements with outstanding business partners that combine our strengths with advantages provided by other companies. As a result, we have entered new large and fast-growing markets and in some cases, created new categories. Many of our collaborations serve both retail and commercial customers. In closing, it has been rewarding to see our team accomplished so much over the past few years. We are well positioned for success over the long term. We expect to benefit from the many strengths, which include our good thinking culture, our leadership in the small kitchen appliance industry, our portfolio of leading trusted brands, our proven customer-driven innovation capabilities and our strong relationships with all leading retailers. We are encouraged that consumer spending for the small kitchen appliances remains resilient. We believe we are well positioned to build upon a momentum we carried into 2024 and deliver solid performance for the year. And then now I will turn our discussion over to Sally. 
Sally Cunningham: Thank you, Scott. Good morning, everyone. I will start with our first quarter 2024 results compared to the first quarter of 2023. As you have heard this morning, we were pleased with our results, and they are in line with our expectations.  The total revenue was $128.3 million, flat to last year's first quarter. Revenue overall benefited from an 8% increase in unit volume and a favorable product mix. These benefits were offset by decreased selling prices versus a year ago. In our consumer markets, revenue increased in our Mexican and Latin American markets, where our teams have added incremental placements and new business. Revenue decreased in our U.S. and Canadian markets. For the U.S. market, volume increased 5.7%, and we expect improvement in our U.S. market this year as the year unfolds and as we benefit from incremental placements. The market in Canada is experiencing some overall weakness that may continue for a while. Our Global Commercial market revenue increased slightly in the first quarter, and we look for this business to enjoy a strong year. Also included in the first quarter was new revenue from our acquisition of HealthBeacon, which was immaterial. Our gross profit margin expanded by 710 basis points, reflecting lower product costs and a favorable mix, partially offset by the impact of a $700,000 non-cash lease impairment related to the consolidation of warehouses. Gross profit totaled $30.1 million or 23.4% of total revenue compared to $20.9 million or 16.3% in the prior year. Selling, general and administrative expenses increased to $30.9 million compared to $25.9 million in the first quarter of 2023. Approximately one half of the increase was driven by the increase in of HealthBeacon's SG&A expenses, along with associated M&A expenses. The other half of the increase was primarily due to higher employee-related expenses, including non-cash stock incentive compensation due to stock price appreciation. Operating loss was $0.9 million compared to an operating loss of $5.1 million a year ago. Included in the current quarter operating loss was HealthBeacon's operating loss of $1.1 million, HealthBeacon transaction costs of $1.0 million and the noncash lease impairment of $0.7 million. Net interest expense decreased by $1.1 million compared to a year ago. First quarter 2024 interest expense was $200,000 versus $1.3 million. This decrease primarily reflects lower average borrowings outstanding under our revolving credit facility. Income tax benefit was $100,000 compared to a benefit of $1.6 million a year ago, to commensurate with the change in operating loss. Net loss was $1.2 million or $0.08 per diluted share, a significant improvement compared to a net loss of $4.8 million or $0.34 per diluted share a year ago. Now, turning to our balance sheet and cash flows. In 2023, we delivered significant improvement in our net working capital and cash flow and ended the year with the highest level of cash from operating activities in our company's history. This achievement was due to our focus on net working capital improvement as we work through the remnants of the 2022 global supply chain challenges. We have now returned to more normalized position for working capital and cash flow generation. Net cash provided by operating activities in the first quarter of 2024 was $19.7 million compared to $34.9 million provided for the same period last year. The decrease was primarily due to the timing of incentive compensation payments during the first quarter of 2024 that were paid in the second quarter of 2023. In addition, net working capital provided cash of $33.5 million compared to cash provided of $39.9 million in the last year's first quarter. With respect to investing activities, capital expenditures were $900,000 compared to $500,000 a year ago. We invested $7.5 million in the acquisition of HealthBeacon using cash on hand. This amount was partially offset by the repayment of a secured loan we provided to HealthBeacon during their examinership process, decreasing our net investment to $5.8 million. We allocated our strong cash flow primarily to reduce net debt and return value to shareholders through the quarterly dividend, which paid a total of $1.5 million. On March 31, 2024, net debt or debt minus cash and cash equivalents was $23.7 million compared to $77.1 million on March 31, 2023. In November 2023, our Board approved a stock repurchase program for the purchase of up to $25 million of the company's Class A common stock outstanding as of January 1, 2024, and ending on December 31, 2025. There were no share repurchases during the 3 months ended March 31, 2024, leaving the full $25 million authorized for repurchase. Now turning to our outlook. We are affirming our expectations for the full year 2024. The retail marketplace for small kitchen appliances is expected to be modestly below 2023 and still higher than pre-pandemic sales levels. We believe that progress with our strategic initiatives will enable us to deliver above-market revenue performance just as we did last year. For the full year 2024, we expect our total revenue to increase modestly compared to full year 2023. As Greg said, we believe there could be an upside to our revenue results depending on consumer spending and retail sales remaining as strong as they have been so far this year. Operating profit for the full year 2024 is expected to increase moderately compared to 2023 based on the expansion of gross profit margin. Our outlook includes our previously reported expectation that Hamilton Beach Health will have a modest operating loss in 2024. That concludes our prepared remarks. We will now turn the line back to the operator for Q&A. 
Operator: [Operator Instructions] There are no questions at this time. I would now like to turn the conference back to Gregory Trepp for closing remarks. 
Gregory Trepp: Thank you. Today, we welcome Scott's participation on our call as our new company President. We are excited about the many opportunities we believe we have to increase revenue, expand margins and deliver strong cash flow over the long term. We have 2024 off to a good start. We will continue to build on that momentum as we carry into this year and see upside potential to our current outlook. That concludes our report for today. Thank you again for joining our call. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.